Atsushi Yamaura: I am Atsushi Yamaura, who took office as the President and Representative Executive Officer of Yamaha Corporation on April 1. I'm pleased to see you all. Allow me to start a briefing on the results of the fiscal year ended March 2024. Let's start by highlighting the results of FY March 2024. Due to the slow recovery in the digital pianos market and the protracted downturn in the Chinese market, the musical instruments revenue declined in real terms. However, due to the strong B2B sales of audio equipment and the impact of foreign exchange rates, the overall revenue increased year-on-year. The core operating profit decreased due to factors, including lower sales of musical instruments, production adjustments to reduce inventories and onetime expenses. The net profit decreased due to the low core operating profit and the structure reforms related expenses of JPY 4.3 billion, including the impairment loss on piano manufacturing processes. As for the full year forecast of FY ending March 2025, I missed a continued uncertain outlook for the global economy and the economic downturn in China the revenue is projected to be flat year-on-year. Yet the profit is expected to increase due to the improvement of model mix, the effects of structural reforms and other factors. Now I'd like to give you more details of the FY March 2024 results. First, the revenue was JPY 462.9 billion, which was 2.5 percentage points higher than the previous year. However, as shown below the table, excluding the impact of exchange rates, it was a decrease year-on-year. The core operating profit was JPY 33.7 billion, which was much lower than the previous year. The net profit also declined accordingly. Here's the core operating profit analysis in a year-on-year comparison. In the previous year, the profit was JPY 45.9 billion, although we enjoyed positive impacts of exchange rates and ocean freight charges, the increase of labor cost and the decrease in sales, production and model mix, which was JPY 9.5 billion were substantial. Moreover, as I mentioned earlier, we booked a onetime expense that amounted to JPY 4.4 billion. Therefore, the overall core operating profit dropped to JPY 33.7 billion. The SG&A expenses also increased due to the recovery of some business activities that were suspended during the pandemic and the profit of industrial machinery components, IMC business and others decreased due to the drop of golf products that enjoyed a special demand in the previous year. A comparison against the previous projection is shown in the bottom half. While we forecasted the profit to be JPY 34 billion, the actual profit turned out to be JPY 33.7 billion, which was almost in line with expectation. Here are the results of each business segment. The musical instruments revenue was JPY 305.3 billion, which seems like a year-over-year increase by JPY 2.5 billion. But excluding the exchange rate impact, which gave a big boost that revenue was lower than the previous year. The older equipment revenue was JPY 121.1 billion, especially due to the remarkable sales of B2B products, it increased year-on-year. As for the IMC business and others, due to the lack of special demand for the golf products, which I mentioned earlier, the revenue decline year-on-year. The next slide shows the full year forecast of the FY March 2025. The revenue is expected to be JPY 465 billion, which is an increase by JPY 2.1 billion. We have been struggling very much in China with the pianos business, and it seems to take another while until the demand hits the bottom. Moreover, the wind instruments business, which had enjoyed a good tailwind in the U.S. may lose the momentum with the end of the support program for elementary and middle schools this year. Therefore, we can only expect a slight increase of revenue this year. The core operating profit is expected to be JPY 45 billion, which is an increase by JPY 11.3 billion from the previous year. The details of the breakdown will be explained in the following slide. The net profit is expected to be JPY 34 billion, which is an increase by JPY 4.4 billion from the previous year. The exchange rates used as an assumption for the forecast are described in the table below. Here is the core operating profit analysis in a year-over-year comparison. While the previous year's profit was JPY 33.7 billion, we expect it to rise to JPY 45 billion this year. The positive factors are the favorable exchange rates, increase in sales, production and model mix and the onetime expense incurred in the previous year, which are respectively contributing to the profit by JPY 4 billion to JPY 5 billion. Here is the full year forecast of each business segment. The musical instruments revenue is expected to be JPY 305 billion, which is almost the same as the previous year. The core operating profit is expected to be JPY 31.5 billion, which is a JPY 6.2 billion increase. As I said earlier, there are negative factors such as low recovery of the Piano business in China and the termination of the wind instrument support program in the U.S. So we made a conservative forecast for the revenue growth. As for the audio equipment business, we are projecting the revenue to be JPY 122 billion, which is an increase by JPY 0.9 billion. The core operating profit is also expected to increase by JPY 4.6 billion. The IMC business and others is also expected to achieve increase in both the revenue and profit as shown here. Now I'd like to explain the details of each business segment. First, regarding the Musical Instruments segment. The revenue in FY March 2024 decreased year-on-year due to the lower sales of the pianos and the digital pianos. The sales of pianos decreased due to the downturn in China, our core market. The sales of digital music instruments decreased due to the slow sales recovery of the digital pianos. Meanwhile, the sales of wind, strings and percussion instruments increased due to the robust demand the sales of Guitars increased due to strong sales of electric guitars and the addition of Cordoba Music Group, which we acquired. As for the forecast of FY March 2025, we're expecting higher sales in Europe and other regions, but the overall revenue is projected to remain flat year-on-year. The sales of pianos are likely to decrease due to the continued downturn in the Chinese market. On the other hand, the sales of digital music instruments are expected to recover due to the market inventory levels becoming lower. The sales of wind, strings and percussion instruments are likely to decline with the termination of the financial subsidies in the U.S. The sales of guitars are expected to increase in all the regions. As shown in the chart below, the core operating profit margin, which dropped to 8.3% in FY March 2024 is expected to recover by 2 points to 10.3% this fiscal year. This slide shows the sales of each product category. The pianos and the wind, strings and percussion instrument sales are projected to decline year-over-year. The sales of the digital music instruments at the guitars are expected to increase. Per region, the sales in Japan, North America and Europe are expected to be almost the same as the previous year. While it is likely to decrease further in China and increase 6% in the other regions. Moving on to the Audio Equipment segment. In FY March 2024, the revenue increased year-over-year due to the strong B2B product sales. Although the consumer product sales decreased due to the downturn in the market, the B2B product sales increased significantly due to the robust demand and the release of new products. In FY March 2025, we expect the revenue from both the consumer and B2B products to increase. Among the consumer products, the home audio products focused on the mid- and high end market may see the downsizing, but the music production and audio streaming products are likely to drive the category sales growth. The B2B products enjoyed a very robust demand in the previous year, and we expect this to continue. So the sales are forecasted to increase. As shown below the core operating profit margin, which was 5.3% in the previous fiscal year is expected to rise by nearly 4 points to 9.0% this fiscal year. Here's the breakdown by product categories. The sales of consumer products are expected to rise a little. The B2B products, which achieved a remarkable growth in the previous year, cannot retain the same level of growth. So we are expecting a small increase. Per region, we're expecting a flat or slight increase in all the regions. Next, regarding the IMC business and the other segment. In FY March 2024, with the increased adoption of automotive sound systems by automakers, the sales of electronic devices increased. Meanwhile, the sales of automobile interior wood components and factory automation equipment decreased and the Golf product sales dropped significantly. In FY March 2025, with the continued expansion of automotive sound systems, we forecast the revenue to increase. Now let me talk about the other financial figures. Here is the balance sheet summary. As of the end of March 2024, the inventories rose to a noteworthy level. This is especially due to the inventory of parts staying at the high level. To cope with the semiconductor supply shortage triggered by the pandemic, we raised the level of the stock at hand with the front-loaded order placements, but then the sales volume decline. So we were left with the extra pile of inventories. As of the end of September 2023, the inventory was as high as JPY 176.8 billion, but we lowered it by a little over JPY 10 billion by the margin. Throughout this fiscal year, we would like to lower the inventory level further down to JPY 142 billion, as described here. Here are the KPIs such as ROE, ROIC and others. Due to the worsening revenue and profit, the ROE dropped to 6.1%, which was lower than the cost of shareholders' equity. By improving the revenue and profit and steadily working to provide shareholder returns, we will strive to achieve an ROE that exceeds the cost of shareholders' equity. The next slide is about the capital expenditure and R&D expenses. The capital expenditure in FY March 2024 increased significantly because this includes the construction cost of the headquarter office building at the Minato Mirai office, which are almost completed. This fiscal year that CapEx is expected to return to the level of FY March 2023. The R&D expenses will be about the same as the previous year, and we will stick to the stable use of expenses. Finally, I'd like to refer to some of the topics. Here's the summary of the progress of the nonfinancial targets in our midterm management plan. As nonfinancial targets to enhance the sustainable growth capability in the new society, we have set forth various KPIs and worked initiatives, as you see here. Including the support for instrumental music education and the percentage of female managers, which overachieved the targets ahead of schedule, all the initiatives are generally making good progress as planned. There are a couple of those behind the schedule, but we are determined to catch up while making sure that the core objectives will be achieved. The slides here on are about our efforts to further strengthen the business foundation. I will not read out everything, but let me just touch on the highlights. In developing closer ties with the customers, we're trying to create customer interactions that deliver an added experience value. During the previous fiscal year, we renovated our store in London. And this fiscal year, we're going to open new stores in Yokohama and Shibuya to enhance the customer experiences. Through the efforts to expand the business domain, our automotive sound systems were successfully adopted by many more car models. In creating new value, we utilized AI technology in a way unique to Yamaha and offered a new service called the Joyful Piano, which enabled physically disabled individuals to play Beethoven 9th symphony on the piano and attracted a great attention last year. Moreover in offering new ways to enjoy audio and music, we're providing services through Yamaha Music Connect, accelerating external partnerships. This slide shows the product with distinctive individuality that we launched during the previous fiscal year. I will not explain each one of these, but we will continue to develop and launch such unique products. To set sustainability as a source of value. First, in building a value chain that supports the future of the earth and society, we're trying to reduce carbon dioxide emissions. The conversion to renewable energy has been especially implemented in our manufacturing sites proactively. Moreover, to create sustainable musical instruments, we are now promoting the utilization of unused wood and thinned timber as the materials for musical instruments. Third, to expand the market through the promotion and development of music culture. We're enhancing the instrumental music education initiatives in emerging countries. As shown in the middle, in India, we started the Japanese music education using recorders in public elementary schools for the first time. To enable Yamaha colleagues to be more valued, more engaged and more committed, we are working on various initiatives as shown here. I will not mention each one of them, but please check them out when you have time later. Here are the financial indicators of the midterm management plan. As I mentioned earlier, the current level of ROE and ROIC are far behind the midterm target. By tackling the issues at hand one by one, we would like to make every effort to catch up with the plan. As for the external valuation, Yamaha was selected for all the 6 ESG indices for Japanese equities adopted by the GPIF. In terms of branding, Yamaha ranked the 26th in the best Japan brands with 2 ranks up from the previous year. We also won an award of excellence Nikkei Integrated Report Award 2023. As such, our efforts have been appreciated by various external organizations. Pages here on are the appendix. There is nothing to highlight particularly, but please use them for your reference later. With that, I'd like to conclude my presentation. Thank you very much. [Statements in English on this transcript were spoken by an interpreter present on the live call.]